Operator: Good morning. My name is Sarah, and I will be your call facilitator today. Welcome to the Frontera Energy's First Quarter 2018 Results Conference Call. All lines are currently on mute to prevent any background noise. This call is scheduled for 60 minutes. I would like to remind you that this conference call is being recorded today and is also being webcast on the company’s Web site. After the speakers’ remarks, there will be a question-and-answer session. Analysts and investors are reminded that any additional questions or concerns can be directed to the company at ir@fronteraenergy.ca. This call contains forward-looking statements, which reflect the current expectations or beliefs of the company based on information currently available. Forward-looking statements are subject to a number of risks and uncertainties that may cause the actual results of the company to differ materially from those discussed in the forward-looking statements. Factors that could cause actual results or events to differ materially from current expectations are disclosed under the heading Risk Factors and elsewhere in the company’s annual information form dated March 27, 2018. Any forward-looking statement speaks only as of the date on which it is made, and the company disclaims any intent or obligation to update any forward-looking statement except as maybe required by applicable securities laws. I would now like to turn the meeting over to Mr. Gabriel de Alba, Chairman of the Board of Frontera Energy. Please go ahead.
Gabriel de Alba: Thank you, Sarah, and good morning everyone. Thank you for attending today's conference call to review Frontera's first quarter 2018 operational and financial results. I'm joined by Richard Herbert, our CEO and David Dyck, our CFO. I would like to congratulate Richard and David for executing a seamless transition over the past month as our continues to deliver on the execution of our 2018 strategy and initiatives. The results continue to be very positive with a strong quarter of production growth and 100% exploration success so far this year. We have the assets and the people in place to execute Frontera's strategy of profitable and sustainable growth in production, reserves and cash generation. While, we continue to drive for operating efficiencies, we are now positioning the company for production and reserves growth in 2018 and beyond. I will now like to turn the call over to Richard, who will go through the highlights of the quarter.
Richard Herbert: Thank you, Gabriel and good morning everyone. Firstly, I would like to thank Barry Larson and all our talented people for their help during my transition from the Board to the CEO position. As I start my tenure at Frontera, we are very busy as we pursue our 2018 theme positioning for growth. We are in a more positive oil [crisis] [ph] environment than in recent years as brent averaged $67 per barrel in the first quarter and is now trading above $75 per barrel. The positive impact of these higher prices is expected to be magnified when our hedges roll off at the end of October of this year. And our CFO, David Dyck will speak to this in more detail later. We have increased revenue and margins due to better pricing and lower cost and the west [indiscernible] oil price differential has traded at $3.80 per barrel so far this year better than our annual assumption of between $5 and $5.50 per barrel taking advantage of positive dynamics in the heavy crude market. Frontera was able to grow total company net production after royalty by 3% quarter-over-quarter to 66,227 barrels of oil equivalent per day of which 55% was light and medium oil. Despite the impact of 1361 barrels per day of high price royalties paid in kind which compares with only 104 barrels per day in the fourth quarter of 2017, which is equivalent to 2% of production. Total company light and medium oil production growth was 11% in the first quarter compared to the fourth quarter. Driven by operations on block 192 in Peru, operations their were reinstated following community issues in the fourth quarter of 2017 and production has been stable at 8600 barrels per day net to Frontera, so far in 2018. In addition, social issues at Cubiro during Q1 have now been resolved and this also improved production in the first quarter. Overall production remains on track to meet our goal of 65,000 to 70,000 barrels of oil equivalent per day in 2018. In our drilling operations in the first quarter, we drilled 33 development wells and three exploration wells. Frontera currently has six drilling rigs in operations with three in our heavy oil areas and three in our light and medium oil areas. We are planning to drill 25 development wells in the second quarter and have started drilling the Acorazado-1 exploration well on the Llanos 25 blocks in Colombia. In our heavy oil segment, we have recently started a major project to construct fluid handling facilities that will enable Frontera to reactivate a number of shut in wells that keep the Southwest and improve efficiency in Cajua. This project is expected to be fully operational by early in 2019. I would now like to move to exploration where as Gabriele mentioned we had exceptional 100% success on our light and medium oil Guatiquia block in Colombia in the first quarter. With two new oil discoveries Alligator-2 in February and Coralillo-1 in March. As we progressed through 2018, we will continue to appraise and evaluate these new discoveries. And although they are not large, they can be put on production very quickly at good flow rates. For example Coralillo-1 has been producing for the last two weeks at an average rate of a 1000 barrels per day or 15 degree API oil. From a high impact exploration perspective, we started drilling at our Acorazado-1 location in the Llanos foothills of Colombia on April 22, targeting a large structure which lies on trend with the giant Cusiana and Cupiagua fields. We have already drilled down to 7000 feet and are on track with pre-drill estimates which will deliver the well in between 90 and 120 days. We expect to spud the Delfin Sur-1 well offshore Peru in the third quarter. Each of these wells has the potential to add materially to our resources in 2018 and provide production growth in 2019. These exploration initiatives combined with the water and oil handling capacity expansions in the Quifa area will drive production growth in the short to medium term and I look forward to reporting on further progress as the company executes these projects. On the strategic front Frontera continues to work on several transactional initiatives that have the potential to create significant value. We are currently analyzing alternatives for reducing our current financing costs, increasing operating and financial flexibility and to address future operational commitments. We continue to negotiate to achieve a material restructuring of certain ship-or-pay transportation contracts in Colombia the impact of which is emphasized by the fact that during the first quarter, the Bicentenario pipeline was offline for 81 days compared to 56 days in the fourth quarter. We are also working on initiatives to increase the value of our non-core assets with discussions ongoing for the T2 and T3 pipeline projects at Puerto Bahia. In Peru as I mentioned earlier, we have restored production at Block 192 to nearly 9000 barrels of oil per day and expect to be able to grow production on the block until the contracts expiration in June of next year. I'm actually traveling to Peru later today to meet with key government and industry representatives with the expectations of continuing the dialogue with them on obtaining a new contract on the block. I would now like to turn the call over to David Dyck, our Chief Financial Officer, who will go over the financial highlights of the first quarter.
David Dyck: Thank you, Richard, and good morning everyone. First let me say I'm delighted and honored to be part of the Frontera team and to participate in the growth and value creation opportunities we have in front of us. I'm pleased to reiterate our annual guidance metrics for net production of between 65,000 and 70,000 Boe's per day; operating EBITDA between $375 million and $425 million; and capital expenditures between $450 million and $500 million for the year. The unchanged annual guidance reflects an average 2018 Brent oil price assumption of $63 per barrel. If current Brent oil price trends continue for the remainder of 2018, the company anticipates delivering financial results that will exceed current expectations despite having 60% of our production hedged until the end of October 2018. For the first quarter of 2018, total sales after realized risk management contracts decreased 26% to $249.5 million compared to $335.3 million in the fourth quarter of 2017. The decrease was primarily due to temporarily lower sales volumes. Now let me explain this a little further. Richard just highlighted that we were able to increase production volumes by 3% in the quarter to 66,227 Boe's per day. Sales volumes for the quarter, however, were almost 14,000 Boe's per day lower at 52,440 Boe's per day a difference of 21%. Now historically, our sales volumes have averaged 3% to 5% lower than actual net production as a result of internal consumption primarily used for power generation in the field. There were three other factors in the quarter however that led to this larger discrepancy. First, oil inventory increased in Colombia by 522,700 barrels as a result of an oil cargo which finished loading on April 2, 2018 these volumes although produced in the quarter were not recorded as sales in the first quarter of 2018, but rather will be reflected as sales in the second quarter of 2018. The sales value of these barrels totaled approximately $31 million. Second, inventory increased in Peru as the ramp up in production on block 192 was higher than our sales entitlements based on the existing ownership of line fill in the pipeline. Inventories in Peru are expected to continue to build until the fourth quarter of 2018, at which point the company's share of line fill and sales volumes will more closely match production volumes Last, there was a settlement of an over lift of approximately 270,000 barrels relating to the fourth quarter of 2017. The increase in inventory during the first quarter and settlement volumes sold during the previous quarter had a follow on impact to margins relating to other key financial metrics including operating EBITDA and FFO. Despite the impact of reduced sales volumes, which primarily related to the timing of events as between quarters, the company continues to expect to deliver operational and financial results that meet annual guidance expectation. First quarter operating EBITDA of $86 million was 18% lower than $105 million in the previous quarter. Lower operating EBITDA was also primarily due to temporarily lower sales volumes as previously noted as well as higher realized risk management costs. Our operating netback was $24.42 per Boe, 3% higher than in the fourth quarter as we lowered production costs by 5% per Boe and transportation cost by 11%. Offset by lower realized prices higher royalties and higher drilling costs. Adjusted FFO for the first quarter of 2018 was $34 or $0.69 per share a 64% decrease compared to $95 million and $1.89 per share in the fourth quarter of 2017. Lower adjusted FFO was primarily due to lower operating EBITDA as we've just explained of $19 million. The fact that we did not receive any dividends from investments and associates during the first quarter of 2018 and we received about $36 million in the fourth quarter of 2017 and higher downtime on the Bicentenario pipeline represented by additional cost of $11.2 million for the quarter. Let me touch on our hedging position for a minute. Our oil price hedges were put in place at a time when the company was coming out of restructuring and when it was necessary to protect the balance sheet and capital programs. The opportunity costs associated with the necessity to hedge equates to a $44 million realized hedge lost in the quarter. However, if higher oil prices persist as we hope they do and as evidenced by the forward oil price curve, we will continue to benefit from approximately 35% unhedged oil volumes. It is also critical to remember that as we move through the remainder of 2018, Frontera will receive higher realized prices in Q3 as hedge ceilings are about $5 higher than in the first quarter and we currently have no volumes hedged in November and December. Frontera's balance sheet remains very strong with a total cash balance including restricted cash of $696 million and positive working capital of $343 million at March 31, 2018. We are not looking to raise equity capital and our exit notes have never been a long-term solution that we will address this going forward. We continue to focus on G&A cost improvement and have kicked-off an internal project looking at improving our operational efficiencies and reducing fixed cost. I will now turn the call back over to Richard for some closing comments.
Richard Herbert: Thank you, David. I'd like to echo the comments of our Chairman earlier. We have a strategy, the assets and the people that are delivering. In my view, Frontera is just getting started and there is a lot of value to create going forward. Thank you to all of you for attending our call today. And David and I look forward to meeting many of you soon. I'd now like to turn the call back to Sarah to take any questions that you might have.
Operator: [Operator Instructions] Your first question comes from the line of Ian Macqueen from Eight Capital. Please go ahead.
Ian Macqueen: Wow. That's pretty amazing. Hi guys. Just a couple of questions. On over lift, obviously it's difficult to figure out what's going to happen with respect inventories. So you could build or sell inventories and we wouldn't necessarily know it. But can you give us an idea on your over lift or under lift balance that might be outstanding as of today?
Richard Herbert: Ian, yes, good morning. We're probably not going to comment on specific inventory positions, but let me just hand that off to David if he could any additional comments on that.
Ian Macqueen: Okay.
David Dyck: Hi, Ian. It's David. Yes. In terms of the over lift and under lift, I mean that's a phenomena that occurs on a regular basis and it's difficult to certainly budget or predict. And so we really can't give any further details on that.
Ian Macqueen: Okay. That's fine. Okay. The next questions, they are all kind of technical. So I don't know if Duncan's also available as well but on Alligator-2. In the press release, it said there were 6% drawdown and 40% percent water cut. To me that sounds like a pretty spectacular well. Just wondering if you can fill in a little bit more detail just because of the drawdown is very low, but the water cuts probably a little higher than I expected. Can you shed more light on that well?
Richard Herbert: Yes, Ian. It's Richard here. We actually have pretty much the whole team here. So whatever questions people have got, we have the experts to answer them. So Duncan is waiting to talk to you about Alligator-2.
Ian Macqueen: Perfect.
Duncan Nightingale: Thank you, Richard. Yes, good morning, Ian. Duncan speaking here. The 6% drawdown that you're referring to in the press release is entirely correct and your assumption regarding water volumes and that's porosities and permeabilities is totally correct. Just to put that in context, we normally have about 30%, 40% drawdown in the nearby [Aka] [ph] field wells due to the exceptional process in permeability and deliverability of the reservoir. We did not need to go to those higher levels. The well is still performing in terms of optimization. So there may come a time in the future when we have to raise the drawdown at the moment that's 6% drawdown is delivering exceptional flow rates.
Ian Macqueen: Yes. It sounds great. Also with respect to Jaspe number 60, obviously that was a positive result. That area is a new area for you guys are you limited by water handling and facilities to get that well or that area on production. What is the plan for the Jaspe area given that you've seen success in the first well? And when could we expect production from that area?
Duncan Nightingale: Okay. Yes. Regarding Jaspe-6 as you know that was a new discovery for us up in the northwest corner of the Quifa Block exceptionally good results there. Very, very good porosity, good permeability, good net pay thickness. And with our partners Ecopetrol, we will be embarking upon an appraisal program this year, which is likely to be composed of two to three appraisal wells with the intention, if possible to move forward to declaration of commerciality for the -- end of this year or maybe early 2019. As far as the development plan goes at the moment and it's too early really to comment too much detail, but we do have a significant number of follow-on locations already identified. As far as water handling facilities are concerned obviously it's a new discovery so there's nothing present there at the moment. So we are evaluating the cost benefit of bringing the water down to Cajua or initially bringing it via truck maybe down to Quifa. So it depends really on where the benefits lie, but very, very good porosity, good permeability, low water saturations. So we look forward to continuing the appraisal and development of that field in the very near future.
Ian Macqueen: Great. Thanks. One last question if you don't mind, you really haven't talked much about the Delfin Sur well in Peru. Can you provide a little bit more background in detail on that field?
Richard Herbert: Okay. Delfin Sur -- Ian I'm just going to hand over to Erik and he'll give you an update on what the plan of the well are?
Ian Macqueen: Okay, perfect.
Erik Lyngberg: Ian, Erik here. Thanks David, Richard. The well spud in Q3 here, so potential -- we are targeting oil gas accumulation on a separate structure from the adjacent producing field and it's expected to spud in Q3 about 12,000 foot well.
Ian Macqueen: And that's from an existing platform in this one block.
Erik Lyngberg: It's a platform that we brought into the block with the rig that's going to be installed on the platform. Platform can be easily converted to production in the success case.
Ian Macqueen: Okay.
Richard Herbert: Ian, this is Richard speaking. Just to sort of reaffirm what Erik said there. The exploration what is being drilled off a fixed platform that has already been installed. So the rig has been mobilized onto the platform now. In the event of a discovery, we have the option to develop this field through the existing facilities on the nearby [Covina] [ph] platform. So this would be effectively like a platform tie back into an existing producing field. So that that makes it a) quite cheap to develop and b) quite fast -- very quick to develop.
Ian Macqueen: Okay. Perfect. Great. That's it for me. Thanks very much guys.
Richard Herbert: Thank you for your question.
Operator: Your next question comes from line of Jenny Xenos from Canaccord Genuity. Please go ahead.
Jenny Xenos: Good morning, gentlemen and congratulations on an operationally very strong quarter. I have a few questions if I may. Maybe I'll start with Acorazado. Could you give us a little bit more color on how drilling is progressing whether you encountered any challenges to date. You mentioned that you're currently at about 7000 feet. So does that mean that things have been progressing fairly smoothly?
Richard Herbert: Jenny, good morning and thank you for your question. I think as we mentioned in the call, Acorazado at the moment, it's drilling entirely to plan. We had a look at the time just curve just two days ago and we are drilling exactly as we had predicted. That said, we of course were in the easy part of the world at the moment, is the shallow section is relatively straightforward. I've drawn a lot of wells in that trend in the past in my BP days and we haven't reached that troublesome -- more troublesome formations of the [indiscernible] which are deeper. However, we have a very strong drilling team here and we have done a lot of planning for this well. So we have a high confidence that we're going to be able to drill it. I don't know, Erik if you want to add any more color for Jenny on this?
Erik Lyngberg: No. I think today well has been drilling as expected there's no issues and going according to plan. So very happy with how it's going so far.
Jenny Xenos: Erik what depths do you expect to encounter these deeper more troublesome formation?
Erik Lyngberg: They'll occur in between eight to nine thousand feet and then 10,000 to about 11,500 feet with another section just above the potential reservoir section around 15,000 feet. And that's the challenge -- the way we've designed the well with multiple casing strings is to contain those potential problematic areas.
Jenny Xenos: And you're referring to overpressure?
Erik Lyngberg: No. It's more a well-borne integrity issues related to the chronic stress and strain regime that we find ourselves in.
Jenny Xenos: Okay, great. Perfect. And maybe Erik, since I have you on the line so far you've had great exploration success at Guatiquia. What does it mean for your interpretation of the area of potential?
Erik Lyngberg: The results have been great so far. And we continue to incorporate the results into our geological and our seismic interpretation model going forward. Alligator as an example Alligator-1 proved the geological concept the follow-up well Alligator-2 basically found -- predicted better reservoir and permeability and porosity. So from that perspective, I'm confident that we're starting to unlock the key technical challenges on that block going forward.
Jenny Xenos: How significant can this area be? Can you comment at all on that?
Erik Lyngberg: Not at this time.
Jenny Xenos: Okay. Fair enough.
Richard Herbert: Sorry, Jenny. I don't think it's that appropriate for us to talk about what the potential could be from successful exploration because obviously we want to understand this area ourselves and understand what further potential there could be in the area so we went too much at this stage.
Jenny Xenos: How many more wells are you hoping to drill in this area this year then?
Richard Herbert: Well, the current plan is, we've just sanctioned some further development activity in this area. So that's a combination of wealth and facility to make sure we can keep up with the success of the wells that have been drilled. And then beyond that we're reviewing the plans to more exploration in this area.
Jenny Xenos: Okay, great. And Richard, could you give us a little bit more color on what's happening in Peru specifically with the Block 192 extension here. You mentioned that you're continuing the dialogue with the government, but what does that really mean, where are up?
Richard Herbert: It's hard for me to tell you that today Jenny having just arrived in the company and as I said in my opening comments, I'm actually leaving for Peru this afternoon and after a visit to the block over the weekend, I will be in Lima early next week talking to two people in the government and in the national oil company. So I think it would be more appropriate to answer that question when I've had a bit more time to get familiar with this topic. But obviously, we have a contract which expires in June of next year. We're continuing to operate that very successfully and we will -- and we're continuing to look at the options that we have for how we stay in a relationship with that block. And I'll give you an update on that in the future.
Jenny Xenos: Okay. Sounds good. Then if I may a question for David please. This quarter you had no dividends from associates, while in Q2 I believe you are expecting a $30 million payment. How should we think of dividends for the rest of the year?
David Dyck: Yes. Thank you, Jenny. The dividends are not paid quarterly. And so, it's just really a timing issue. They're generally paid twice a year and so this may be an issue that we'll just have to address as we move forward quarter-over-quarter. So it's really a timing difference and we highlighted it because of the impact of the change between Q4 of 2017 and Q1 2018.
Jenny Xenos: So, you're expecting a payment in Q2. And then, is it fair to say that there is likely another one then coming around Q4; you said twice a year you get paid?
David Dyck: Yes. There will be one coming toward the end of the year I just can't tell you right now.
Jenny Xenos: Okay.
David Dyck: We don't know exactly that we'll be.
Jenny Xenos: No. That's good enough. Fair enough.
David Dyck: As we have done in this quarter, if there is any anomalies in terms of timing, we will be certain to draw your attention to them.
Jenny Xenos: Great. Thank you so much. That's it for me.
David Dyck: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of René Burgos from CarVal. Please go ahead.
René Burgos: Hi, guys. Good morning and thank you very much for calling in for the results and welcome again Richard and David. I have a few questions for you guys, just for modeling purposes, as you guys continue to build up on these exploration successes, how should we be thinking about research for next year? Maybe the specific you cannot give us. But how comfortable do you believe you are ready at this point replace reserves and also as you continue with these expressions such as how should we be thinking them translating into actual production?
Richard Herbert: René, good morning. Thank you for your welcome and for your question. Let me just start with an answer and then think I'll turn it over to Duncan to just talk about what the sort of the development plans are for our exploration successes. Obviously, it's still fairly early days; we're talking about some two exploration wells that have just been drilled in the first quarter. But as I said in my introductory comments, we have the benefit here that we have infrastructure for production. And so, we are able to put these wells into production quite quickly. And I will just -- Duncan, if he able to say anything that would help to guide you a little bit on sort of the timing of that? So Duncan over to you.
Duncan Nightingale: Okay. Thank you, Richard. Yes. It's a very difficult question to try and quantify to be honest with you René because building on the successes of the reservoir optimization and infill drilling we've had this year, we're obviously setting ourselves up for technical reserve adjustments subject to the reserve auditing process at the end of this year. We're also continuing on with the exploration successes. Certain evaluations as you obviously know that have to take place to quantify the pool size and the reservoir performance which is work that needs to be conducted over the coming months. And again, that does set us up hopefully for new reserves to be booked, but again, subject to reserve audit and consideration at the end of this year. And then, in addition to that we built up a fairly large inventory of drilling locations in our heavy oil assets as a result of the vertical wells that about on Quifa and Cajua. So again, there we're continuing the evaluation, the assessment of the reservoir performance. But, I think we have certainly a very good drilling inventory of opportunities in our light medium as well as our heavy oil assets, but the actual magnitude of reserves to be booked. I think that needs to be considered very carefully over the next few months with our reserve auditors.
René Burgos: Maybe, let me ask the question differently. So, at this point, I'm hoping that you can understand the frustration coming from our end and we've been longtime investors for you guys at this point. As I think about the work you did towards the end of last quarter, the optimization work that was on last year, the less water cut in some of the fields, the exploration successes, production is certainly not reacting. So I'm just trying to get a better sense of when is production going to benefit from all of these different initiatives and reserves because we are from this and not seen the benefit despite the fact that all this great news as you guys continue to post. I'm just trying to match A and B to get to C and right now I just don't get to that. So, I don't know if you can give me any sort of additional color that would help me in -- as I marry all these two concepts together and by the way, I need to caveat this by saying that I'm not an oil expert, I'm slowly becoming one.
Richard Herbert: What we have signaled for this year René is -- in our guidance is that our production will end the year between 65,000 and 70,000 barrels a day. And obviously, the composition of that comes from all of these different fields that Duncan was talking about. I think at this stage, we're still relatively early in the year. We're talking about the first quarter and I think it is too soon to sort of talk about any more detail as to sort of where this production could come from and what could be the impact on reserves and so forth. I think we would rather say at this stage that we have good confidence in our guidance production for the year. We continue to invest. We're continuing to see good news from both our production asset but also from the exploration program. And when we're ready to sort of make any adjustments to that we will signal it. But, for this quarter we're saying that we're unchanged.
René Burgos: Okay. So for the time being that's okay, but I would expect a more fulsome answer in the coming months and quarters. So next question would be cost, you ended up in your lower end of the cost this quarter. So is it fair to say that we should expect cost to be moving -- sticking out in this level or do you think toward the end of the year, it would average out to your projection because I knew you were hinting the production cost and transportation cost were going to be closer to 20, 24 and 28 just to run numbers and clearly you came on closer to 24. So how should we modeling those numbers for the rest of the year?
Richard Herbert: Well, I think on production costs, I'm going to ask David to give you a sense of -- sort of what direction they're trending in. Obviously, we have a lot of different elements that are feeding into this particularly on the transportation side. Let me ask David to give you some views on where this is headed.
David Dyck: Yes, René, its David. Certainly were encouraged with the performance in the first quarter and being able to reduce costs and as I said in my comments, we continue to look at a number of initiatives not only on the corporate cost, but on the field cost to drive those down. And so, we're still very comfortable with the range, obviously, our job is to try to exceed our guidance. And so that's what we're -- that's what we're targeting to do. And to your point that you made earlier as we have more information as I move forward I think we can start to narrow ranges and be more specific on our guidance further for the balance of the year and then ultimately start to look forward into 2019. But it's premature at this point.
René Burgos: So then, is there any seasonality in your numbers then, is the first quarter the lowest cost quarter for whatever reason. Is that a fair statement?
David Dyck: At this point, I think we're probably going to be pretty flat quarter-over-quarter. Maybe I'll just ask Alejandro to comment a little further on that.
Alejandro Piñeros: Yes. Usually there are some costs that come in the fourth quarter that are more significant and there are some contracts that are closing in the fourth quarter and the first quarter. Benefit for a little bit of seasonality of lower cost in our production.
René Burgos: Okay. And my last question, you guys are sitting on a significant amount of gas shipping by my calculation and I mean you're wrong, it's over a third of your market gas shipping cash. What are you guys thinking about gas and I know you mentioned a couple of initiatives but I would like to kind of get a better sense of the timing of this initiatives and what should we expecting over the next several months?
Richard Herbert: René, I think on how we're going to deploy that cash as and when we're ready to deploy it. Obviously, we'll be able to announce that. But at this stage, we can't signal forward exactly how we intend to use it. We have some options in our Midstream area where we can make some investments, but we have also linked those to some of the restructuring of our transportation agreements. And so the timing on that is not something we can talk about today. And equally as we look at our -- as we look at our upstream portfolio, obviously, we need the flexibility to react to. For example the outcome of an exploration well like Acorazado, which could have a big impact. So I don't think it's possible unfortunately to give you a very specific idea of how we're going to spend that cash today but you could be assured that we will spend it in a very prudent and disciplined way when we do come around spending it.
René Burgos: Okay. So my last one is, on the IFC, is that contract still in place because I know that that was signed a long time ago and I know that it had different thresholds. Any changes on the IFC contract?
Richard Herbert: Yes, René, let me just pass over to Jorge Fonseca to give you an answer on that?
Jorge Fonseca: No changes. So far no changes. I look forward.
René Burgos: I look forward getting the chance to meet you guys during the shareholder meeting. Thank you very much for the time.
Richard Herbert: Well, thank you very much for all your questions René and that's great. We look forward to seeing you too in a few weeks time.
Operator: Your next question comes from line of [indiscernible] & Company. Please go ahead.
Unidentified Analyst: Yes. Hello everybody. Do you hear me?
Richard Herbert: Anton, we can hear you. Go ahead.
Unidentified Analyst: Thank you very much. Well, thank you for your time and thank you for the presentation. I had a few questions that are really regarding finance and in the press release there was a statement saying that the company is currently analyzing alternatives for using its current financing costs, increasing operating and financial textbook and maybe raising capital to address future operational commitments. So the questions I had were the following. At the moment there is 250 million loan which is quite expensive and you have a lot of cash. First question is, can you sort of pay back this loan? The second one is, there were a lot of divestitures that were talked about in the former times of [indiscernible] you have a lot of midstream and non-operating assets that you wanted to divest. Are these divestiture is going to go ahead? And also related to the previous question, today you see that in the energy sector a lot of companies are aiming to be free cash flow positive that the investments need to be financed. CapEx needs to be financed out of operating cash flow. Should you not be in that state at the moment and with oil prices being at 70, I don't think you should be raising capital, but you should be really more divesting some of these non-operating assets midstream, ports and things like that, I don't think should be in that, shouldn't that be the source of funding for your additional projects. Third question is hedging, does it make sense to hedge when oil is at $40 and $50 a barrel and then say we stop hedging when oil is at such high levels. And then, the last question is really from a shareholder perspective, the stock price has been terrible. I mean the performance of the derivative bonds is basically almost in line with the [wonderful] [ph] shares. What are you going to do with the stock higher. I mean it's really underperforming significantly, the peers. So it's really a lot of questions regarding finance. I guess shareholders are really less interested in operations and drilling and all that but in short-term, how do you get the cash flow positive, how do you sort of make the stock price go up? Thank you.
Richard Herbert: Well, Anton, thank you. That's a lot of questions. And I'd like to show you that David and I start working here we have the same questions on our mind. So it's still quite early days for us. I'm going to ask David in a minute to just talk about the position with our current bonds and how we think about those and what options we have going forward on those relative to our cash position. I think to address your question on the midstream assets, I would just make the point we have been divesting midstream assets and we announced another disposition in the first of a non-core midstream assets that has gone. Obviously, we're looking at our portfolio and the ones that remain. I think what I would just say today is that in some cases it makes more sense to hold onto some of these assets and actually potentially invest a little bit in them to actually position them for sale. So we will -- we're looking for value here, we are not in a fire sale. So, we will address that at the appropriate time. I think with respect to your comment about being free cash flow positive, obviously, I mean that is the situation that we would all like to be in sort of internally, if it was possible. We were free cash flow positive last year. This year we had some bigger projects that we're investing including the water handling facilities at [Kiefer] [ph] that I mentioned. And also, we're drilling two big exploration wells. So the nature of the upstream business, it tends to be a bit lumpy with capital going in and so this year we won't be free cash flow positive probably at the end of the year. But, certainly our intent going forward is to look at our cash position and make sure that we're investing in a prudent way relative to the cash that's coming from our operations. I'll ask David to comment on the position with our hedges as well and how we might think about hedges going forward. Obviously, we are in a position that's historical, we looked into the hedges, we've got now for the reasons that David explained earlier, but as we go forward David will give you some thoughts on the future. And finally, on the stock price. Well, I think it's our job to make the company perform other people jobs to make the stock price perform and I'm not sure that I can answer that question except to sort of go and ask you all to buy some more stock. So with that let me hand over to David Dyck.
David Dyck: Thanks Richard and hi, Anton. Yes, you've got some great questions there and it's all about reducing our financing costs. And I alluded to at my comments that and you're quite right, our existing exit notes are -- I don't have a fairly high coupon. They also have some significant limitations in our ability to conduct their business and what I would consider a normal course. But the bonds put in place because we needed to get those bonds in place at that time. And those bonds do have some callable features later this year. And so, we're looking at that in relation to our overall financing structure or financial structure and our financing plans and that's really what we were alluding to in our press release that everyone knows that those exit bonds were put in place as a temporary measure to get us through a time period that was difficult. We're coming out of that difficult time period. We've got a lot of activities in the field. And so we need the flexibility within our capital structure to run our business. So that's really what we're looking to in terms of not only financial flexibility going forward, but reducing our overall borrowing costs through a different structure. As to the hedging piece right now again under those bonds were limited and so we don't have any flexibility and until we actually take those bonds out and refinance them. But having said, we're well aware of where the oil price is today. We're well aware of the opportunities that we would have to put additional risk management strategies in place and so we are very -- we're valuing those very closely, we're in discussions with our Board on those issues and we will do what's prudent to protect our ability to fund our capital programs and to cover our costs on a go forward basis.
Unidentified Analyst: Okay. Thank you for the answers. Maybe just a follow-up to help the share price, I mean definitely a dividend would be nice to have -- almost $560 million in cash and probably the company could start paying dividends now.
David Dyck: Well, again, Anton, under current financial financing structure we're precluded from paying any dividends under those exit notes. And I think Richard's comments on our cash resources relative to the initiatives that he talked about in his comments earlier, I think are -- I think where that cash position is entirely appropriate and prudent given some of the things that we have in front of us including funding our ongoing exploration development programs.
Unidentified Analyst: Okay. But then you want to keep the [buy at course] [ph] and all these midstream assets that seem to be unrelated with exploration and production?
Richard Herbert: I mean whether we keep something or don't keep it. These are strategic decisions that will take Anton. Our focus as we've signaled in the last -- through the restructuring is to bring Frontera back to being primarily an exploration and production company. But, we still have investments in midstream. And as I said earlier, the decisions that we take on those will be focused on value not on the necessity of just changing the shape of the portfolio. So and when we make decisions on that, we will let you know, but at this stage, we feel there is more value by holding onto these assets in the near term, while looking longer term and how they fit within our strategy.
Unidentified Analyst: Okay. And maybe a last question if I may, is one of the reasons I think why the share price is so low is that there's very little liquidity when you look at the volume of shares traded per day is really minimum. What are the steps that you're planning to take to increase the liquidity of the stock and to increase the volume that is traded on a daily basis? Are you going to talk to more big banks -- the more the road shows or things like that because today the stock is basically untradeable, so little volume that no big investor can sort of say okay I want a bigger -- I want to position in the stock price?
Richard Herbert: Yes, Anton. We all understand the issue we have on liquidity. Let me hand over to David again to address your question.
David Dyck: Yes, Anton. I think that that the best thing we can do to improve our liquidity and increase the cycling of stock through people actively trading is to execute on our strategy. And we're in the business of producing oil and selling it and making a profit and putting up returns for our shareholders and we trust that with the activities, we've got ongoing that we can reward our shareholders accordingly, but they've got a buy and sell the stock. And we got 50 million shares out there and there's not very many that are trading right now. We're going to be implementing or we're considering implementing a stock split which hopefully will help. We have a very focused and active Investor Relations program that is targeted to meet and to talk to not only our existing stakeholders, but looking for new stakeholders and get them to be interested in what we're doing.
Unidentified Analyst: Thank you very much for your time and your answers.
Richard Herbert: Thank you, Anton.
Operator: There are no further questions at this time. Should you have any further questions please email ir@fronteraenergy.ca. This concludes the call. Thank you for participating. You may now disconnect.